Operator: Ladies and gentlemen, thank you for standing by. I am Geli, your Chorus Call operator. Welcome, and thank you for joining Vote conference call and live webcast to present and discuss the First Quarter 2023 Financial Results. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Michael Tsamaz, Chairman and CEO; Mr. Babis Mazarakis, Chief Financial Officer; Mr. Panayiotis Gabrielides, Chief Marketing Officer, Consumer segment; and Mr Evrikos Sarsentis, Head of IR and M&A. Mr. Tsamaz, you may proceed.
Michael Tsamaz: Thank you. Good morning and good afternoon to all of you. The first quarter we reported earlier today enforced our confidence that we are implementing the right strategy in the phase of development. As you know, will have weighted our bank proposition on the quality of networks we built and the services we offer rather than competing on price alone. Even if vigilance will certainly be required more than ever, in 2023, the group's performance, this quarter shows that we are on the right track and our execution is paying off. At group level, the slight drop in revenues we experienced this quarter was mainly due to the low margin international wholesale traffic as well as the comparable base in Romania, and I'll get back to what we're doing to address that in a minute. In Greece, on the other hand, international wholesale was the main headwind. But excluding what is largely a lower-margin business, revenues were up, and we delivered solid performances for mobile -- in ICT. Energy fixed services, we successfully defended our market share and comes to the bulk of broadband additions during the quarter. Our focus is squarely on upgrading our subscriber base to higher speed solutions, and this translated in further growth of fiber subscriber numbers in the quarter. On the cost side, we maintained an intensified our discipline across the world, benefiting from last year's voluntary retirement schemes as well as from arrangements sheltering us from the most extreme variations in energy costs. As a result, EBITDA in our home market was up nearly 2% and very satisfying performance. The EBITDA margin reached 43.3%, ahead of the levels recorded in the previous five quarters. Now let's look ahead to the rest of the year and how we can leverage our first quarter as we go forward. In Greece, we will continue to focus on our top line strategy and fiber mobile coupled by with most vigilant across the board. Together with the expansion of our fiber footprint, we will pursue intensive marketing efforts to continue raising our fiber-to-the-home utilization rate, which has been growing steadily and reached 18% as of the end of March, up 12% a year earlier. Mobile, we are leveraging our 5G infrastructure and continue to push to convert users from pre to postpaid services. Our focus is on maintaining our market share, focusing especially on the more value generated segments of the market. In addition, Cosmote's new businesses will continue to reinforce the orai nfluence of the brand, like the box delivery service and the payment system, which has now reached over 100,000 users in a few months since it was lost. We will also carry on pushing ICT projects, which are valuable by themselves, but also contribute to the utilization of our economy and create better conditions for growth. We have a strong pipeline of projects of viable assignments, which should support this line of business going forward. The world in Romania, where our mobile subsidiary was impacted following the discontinuation of the MVNO service provided after separation from its fixed are. As you have seen, we announced last Thursday that following the resignation of the previous CEO, Babis, in addition to his responsibilities of group CEO, will take all the duties of the CEO of Telecom Romania. Babis will intensify the focus to stabilize and improve the performance as well as to explore any strategic options. So in a year that we don't expect to be particularly easy. We are assured the old the first quarter results and our committed to great customer service, continuing to build top class infrastructure, controlling our costs. That's why we're confirming our outlook for the year. Our CapEx, which was down in the first quarter for seasonal reasons should be stable in the full year as we accelerate fiber-to-the-home deployment. We also confirmed our shareholder remuneration. On this note, I'll now ask Babis to review our performance in the quarter.
Babis Mazarakis: Thank you very much, Michael, and greetings to all of you from me as well. I'm proud and excited to take over the added beauty of the CEO in Romania, and I look forward to getting this operation faster on stabilization path. Let's now jump into our first quarter performance. This year, first quarter group revenues were down 2% from the first quarter of 2022. In Greece, revenue was down less than 1%, primarily from international wholesale and to a lesser extent, retail fixed services. Romania, the 2% drop reflects the MVNO discontinuation following the sale of our fixed business in the year before and as well as lower mobile termination rates. Group adjusted EBITDA after leases were just down 1%. The drop was entirely due to Romania, which had benefited from a sizable one-off positive factors in the first quarter last year and experienced certain headwinds this year. In Greece, we achieved a strong operating profitability with EBITDA margin at the high end of our historical record. This is due to our ability to control our cost base. All told, the group EBITDA margin was 40.1%, up 40 basis points from the same quarter in 2022 despite the Romanian shortfall. Now turning to Greece, the resiliency revenues reflects the strong performance of mobile and ICT while wholesale and fixed weightineotal. Revenue from re-retail fixed services were down 3.5% in the quarter, including data services, which makes Absence to incorporate. Most of the decrease comes from voice and TV, while broadband was roughly unchanged. Overall, this reflects certain pricing adjustments as well as lower demand for some legacy services. In TV, the growth in subscriber numbers continues. Now we are approaching 650,000 customers. It is mainly driven by our over-the-top service, which commands a lower ARPU. With excellent content, we are successfully preserving our share of the market as well as our penetration of total households. As mentioned before, the broadband revenues were stable, which represents an achievement if you consider that we are comparing to the last quarter before we started implementing a round of significant speed upgrades at no additional cost for the customer. This has frozen revenues that would normally have benefited from customers upgrading voluntarily, but most importantly, it also has a desired effect that of stabilizing our base. We added 150,000 customers in the quarter, pursuing the increase in penetration on total base, which now exceeds 86%, 2 points higher than a year ago. As you're aware of, we are totally focused on moving our customers to fiber and the order marked another series of successful moves in this direction. Compared to the past 2 quarters, we more than doubled the number of hybridation during the first 3 months of this year to 41,000. More than two third of these additions or 29,000 came from MTT, bringing the total FTTH base to 166,000 way more than rise than number a year ago. Similarly, despite the ongoing expansion of our fiber to the home footprint and despite the current lack of any government subsidy encouraging take-up fiber-to-the-home penetration reached 18%, 18% of homes passed, up from 12% a year ago. With fiber playing an even larger role in our offers, Speeds in excess of 100 mega bps representing now 45% of total retail subscriptions at the end of the first quarter of this year, up from 28% a year earlier. As you see, we are holding our ground in a changing competitive landscape by leveraging our advanced infrastructure and top customer service offer. ICT had another strong quarter, boosted by system solutions for private and public entities, including EU-sponsored projects. As a result, other fixed revenues were up more than 12%. For the most part, the decline in wholesale revenues come from international transit, but there also saw a slight drop related to lower tariffs in domestic wholesale. Moving to mobile service revenues in Greece. We -- this achieved another quarter of a very healthy growth, up nearly 3% this quarter, driven by increases in both postpaid and prepaid. In prepaid, we had a very solid quarter, validating our more-for-more strategy, notably higher top-up value bundles. Postpaid continued to benefit from the expansion of the base and very encouraging data monetization Data KPIs are all pointing in the right direction, notably monthly data usage per subscriber up 67% year-on-year. We are actively pursuing the expansion of our 5G network reach, which should stretch to 90% of the population by the end of this year and is already above that level in most of the country's major cities. Now let's turn to the other side of this quarter story in Greece with good cost control. Total operating expenses, including depreciation and amortization and one-offs, were down nearly 4% in the first quarter, as a reversal from the trend last year when our cost control initiatives ended up being neutralized by inflation and higher energy costs. This quarter, energy cost came down significantly, about EUR 5 million, thanks to hedging and long-term sharply ones. Energy, of course, remains a volatile element in our P&L and our efforts are focusing now on stabilizing price for the future years even if this implies somewhat higher prices going forward. Bad debt provisions were also down as the higher rates of the pandemic period are proven overly conservative. Personnel expenses declined more than 3% in the quarter, reflecting the benefits of last year's early retirement plans as we had anticipated. A new voluntary exit scheme is underway, which should improve further our cost reduction in 2023 and onwards. We have also finalized a new labor agreement with the union, which provides visibility to our cost while eliminating a number of legacy bureaucratic attractions. Important to say employees at the lower salary silos will benefit the most from the new agreement. All told, first quarter adjusted EBITDA after lease increase was up 1.6% to nearly EUR 319 million, resulting in a margin of 43.3%, which is up 110 basis points from the same quarter last year. Total revenues were down 12% in Romania, which is a very challenging market, of course, where we are facing competitors who are offering unlimited services for a couple of euros a month. In last year's first quarter, the telecom Ammonia will still providing MVNO services to rants following its acquisition of the fixed business. This service has been gradually continued. As a result, revenues were down sharply. Revenues were also affected by the mobile termination rate cuts imposed by the regulator. Now starting this quarter, that is Q2 of 2023. The comparison should become more favorable as the MVNO agreement subsides, and there's only EUR 2 million in Q2 last year and very little after that. Total operating expenses, excluding depreciation and amortization, were down nearly 2% in the quarter, primarily due to lower interconnection costs, while device costs were up as Telecom Romania is -- was forced to align this strategy with those of its competitors. Energy costs were also higher as the government terminated the subsidized app benefiting larger enterprises, leading significantly higher tariffs throughout 2023. A -- the impact in this first quarter low is in the area of 2 million from this energy costs. As a result, Telecom Romania Mobile's adjusted EBITDA after leases was nearly 4 million in the quarter compared to nearly 12 million in the same quarter last year. Important to note is that if we exclude the MVNO impact we discussed before, EBITDA would be down less than 3 million from last year's level, reflecting just the aforementioned higher energy costs. There is not much to point out in the rest of the P&L since the interest expense and income taxes were down by 4% and net income was up nearly 5%. We -- turning to cash flow. Adjusted CapEx was down 14% to EUR 80 million versus last year. But as you know very well, the first quarter CapEx is often not representative of the full year outlays because of the seasonality. As we step up the pace of fiber-to-the-home deployment, there are a should normalize starting this quarter, in line with the EUR 640 million, full year CapEx guidance, which we are fully confirming. Free cash flow after lease was up 2% to EUR 226 million. We maintain our guidance of approximately EUR 500 million for the full year. Finally, our shareholder remeration guidance of 425 million change with 250 million in dividend payable in early July -- and EUR 175 million in share buyback, which come currently under execution. So to , we are pleased with our healthy first quarter in Greece, underscoring the competitiveness that comes from offering great service on a state-of-the-art infrastructure. While we expect to face new challenges, we remain optimistic for the coming quarters. Romania situation is definitely tougher and we are awaiting all of our options there. On this note, Mike, Panayiotis and myself and our colleagues are on the table, are ready to take your questions. So operator?
Operator: [Operator Instructions] The first question is from the line of Stamatios Draziotis with EuroBank Equities.
Q – Stamatios Draziotis: Just a couple if I may please. Firstly, on Romania, with the performance there, as you said, going south, again, I expect the business will be cash flow negative again in 2023. Could you tell us what you think in terms of your strategic options and how this thought relate to Babis taking over as CEO of Telekom Romania Mobile. And secondly, I mean, I guess, the pressure in Greek fixed was well telegraphed in previous quarters. It's clear you intend to protect your subscriber base. Just wondering what you've been seeing from a competitive dynamic perspective, has your main competitor leading price initiatives being able to gain subscribers? And when do you think the top line dynamic in fixed will improve, please?
Michael Tsamaz: Thank you for the questions. First of all, Romania, the appointment of Babies doesn't really change much. I mean the direction is there. The first one is to continue and intensify the efforts of stabilization. Yes, EBITDA-wise, we are in the first phase downwards a year ago, but I think we explained that the combinin doesn't help. So this drop versus the previous year will get normalized as we move on to quarter where last year, we didn't have the MVNO and this will be more evident in Q2 -- so the effort now is to intensify the stabilization, meaning that the challenging environment to continue driving the customer base as we saw also in the results, continues to grow and take advantage of the -- of any type of synergies and efficiencies we can do in order to improve the customer experience and the profitability. So consistent with what we have discussed in previous calls, this hasn't changed. It's intensifying, of course, because we need to make sure that the pace that we are running there towards the stabilization will not be impacted. Regarding strategic options, this is something that as we said in previous calls, we continue to explore and assess. Inevitably, we don't have anything in the concrete now to discuss because these strategic options will be materialized wherever there is a real case. And rest asset where we have something we will inform the market. But the message here is that while we are stabilizing the business, we are also exploring any strategic option which makes sense. On the fixed side, I think alluding to what we have discussed in the previous calls in the past 2 quarters. So the picture here is on the fixed side is consistent with what we have discussed, meaning that we see a top line decline. Also the combination versus the last year we compared with last year that before we upgraded our customer base to the next speed at low cost. Just to say that the feeling is that if we haven't done that one, then your question would have reverted mostly why do we dose customers. So now we are -- we have achieved the first part, which is to maintain our customer base. Thanks to this move that we did last year. And also thanks to the continuous drive of the fiber-to-the-home superior service we have in the market. And as we move on in the next quarter where we'll be comparing with orders where we have this effect evident. The expectation is that this top line negative point will start getting a little bit towards testabilization. We cannot put a corten it will happen because we are not alone in the market, and we have to continuously getting in our customer offers updated, but the competition remains intense, and we think that our strategy so far works, and it's consistent with what we discussed in previous quarters.
Q – Stamatios Draziotis: That's very clear. Thank you.
Operator: The next question comes from the line of Patrick Morris with Barclays.
Patrick Morris: Is Maurice here from Barclays. Just a couple of questions for me, please. First one is you showed the chart of fiber penetration, which shows if I understand correctly, now sitting at 18% of your homes connected to the fiber network with 940,000 house passed. So that's pretty impressive increase in the utilization rate was 12% a year ago, now 18%. How high that obviously on average? I'm just curious as to how high the penetration is on some of the more mature cohorts. Like are we sitting at sort of 30% on some cohorts now or where what's it like in terms of the cut penetration? And then the second question, if I may. You saw United Group sell a bunch of towers or the seller announced towers to sales at 20x EBITDA. I'm just curious, given those elevated multiples, if you tempted at all or you're still taking the view of wanting to own and control your towers...
Michael Tsamaz: Let me take the second one on the Towers. On the Tower sale, we -- yes, that was an announced market by United. So we don't -- we can't comment any more on that one. This doesn't change our strategy, which has been that this is an asset that, for the time being, we have selected to keep. If anything else, aside from the strategic choices, there's also different drivers between a decision to go that path from common depending on the structure. On the penetration part, if I understood the question correct, and please follow up if this is something that will not be responded. Is that this 18% is currently what we have in -- at the end of Q1. Now the way this will grow is a little bit depending -- or it's mostly dependent on how fast we roll out also the base the home pass cost. Currently, we are in the pit, I would say, of our activity there, and this will be this year and next year. So inevitably, we'll roll out a big proportion of the total project in the coming, I would say, 18 months or so until the end of 2024. So the presentation will continue to grow, but we have to wait a the first maturity level, which is around in the area of close to 2 million homes before we see the utilization getting to what might have been your thoughts when we answered the question in the levels of above 25% or above 30%, once the base has been stabilized. So that's -- if I got the question, please follow up if this is not what you were in for.
Patrick Morris: Yes. Sorry, maybe I ask it in a different way. So 18%, I guess, is the average penetration on your entire base. And of course, the ones you rolled out in very recent quarters probably are less than 18%. So probably have some more mature cohorts that are currently more than 18%. And I was just wondering what penetration are you getting on some of the more mature cohorts.
Michael Tsamaz: Okay. May add to this. If we go to the base that we have rolled out and is now mature and let's say it was 2 or 3 years ago, I would take you 3 years ago, rollout. -- penetration of fiber on our own base of fiber-to-the-home is 1 out of 2 customers, meaning 1 out of 2 of our customers, our broadband base in the area that we have brought out 3 years ago. On that wave of rollout is 1 out of 2 customers have already moved to fiber. And if we go even back to 4 or 5 years, it's more than 65% of our own base that have migrated to fiber. I don't know if that was the question. I hope I have held on that.
Patrick Morris: That's exactly the question. Thank you very much indeed. Very impressive way.
Operator: Next question is from the line of MG Clara with JPMorgan.
Unidentified Analyst : I had one clarification question just on the MVNO revenues in Romania. Could you just share how much the MVNO revenues were in the last like comparable quarter last year, so in Q1, just so we can kind of compare what it would be in -- compared to Q1 and Q2? And then just the second question is on energy costs. So just following up on what you said about trying to stabilize the cost going forward. Is this kind of still a PPA and would this mean maybe 2024 and going forward, the prices may increase versus now? Or would this be like versus, I don't know, 2021 2.1 price?
Michael Tsamaz: Thank you for the questions. So on the numbers of P&O, we had about EUR 6 million in Q1, which in Q1 of 2022. And the Q2 of 2022, we had EUR 2 million. So that's a total of 8 million. And then in the Q3, Q4 of 2022, it was nearly 0. So on the energy cost, the we see there was some noise in the line, but if you hear me on the energy cost, we have the following. In 2023, the cost of energy for a big part of our consumption was lower than the market because we have this long-term agreement we had signed a couple of years ago. So this is what gives us this nice savings that we are discussing. In 2024, of course, if we look just the forward rates or if we look the best guess in the market, we expect that there might be an increase versus because the good rate we had in 2023, as we said, they were locked in the previous year and they were lower So in 2024, there will be higher. However, we are doing various exercises with, for example, to sign PPA agreements and things like that in order to contain those costs. So if we want to put a number in 2024 versus '23, I think we said a little bit early. We need to see how we were progressing in the next couple of quarters of this year to look these type of deals, the PPA deals that will change again the picture in 2024. But definitely, we are expecting an increase in some of our consumption, which is not -- will not be a part of the PPA. The magnitude which we don't expect to be huge. It may be in the early -- in the low double digit or something like that. But putting a number there, we have to be waited a little bit in order to give you a more credible answer in the coming quarters.
Operator: The next question is from the line of [indiscernible] George with Baba Lake Securities.
Unidentified Analyst : Two, if I may. The first one is, up until the fourth quarter of 2022, we kind of give us some data on how the market and your competitors are doing in broadband and fixed access lines. I was hoping you could give us some numbers as well for the first quarter? And my second one is related to what the previous questions were about the energy cards. If you could tell us about your thoughts about how you plan to attack your cost base even further this year.
Michael Tsamaz: Thank you for the questions. Starting from the second part, which is the energy. Let me try to put -- it's not -- our construction is not just energy. It's broader than that one. And the drivers that we tried to explain in the speech before, which has bottom us in this nice point, continue to be our strategy, i.e., we continue to optimize through voluntary retirement schemes. We said that there will be another one coming in this year in order to -- with a nice carryover also in 2024. And also, we are optimizing in other areas, the nonpayroll areas. -- in order to find more savings or more optimization that will help us on our profitability. Also, again, taking the coming from the speed, the fact that we concluded our collective labor agreement, which secures the this framework for the coming couple of years. It's something that we are considering a valuable asset because now we have nice visibility about this period, which also help us to support especially the low income with -- by resultsome of the perks that we were giving towards this category. On the energy is, you mentioned specifically, also coming to the point that I covered before in the previous question, actually, we are doing 3 things. One is continue to drive post energy consumption projects in order to reduce the consumption, especially on the high consumed areas like data centers, network, et cetera. And the that's one. Secondly, we are pursuing various PPA agreements. We are still in the discussions, but we hope we will have some that will be kicking in the 2024 and will benefit -- will help us to lower the cost. And for the port will be out in the market, I mean floating part, we are doing agreements with the agreements with the energy providers in the market, so as to have it in our cost. So the direction on the cost side is a continuous effort to reduce in line with what we have been seeing also in this year. To your second question, for competition landscape, quarter 1 and also the coming -- the current quarter 2 is a repetition of the high competitive high challenging change in the market, which I think we have been quite lively described our defending strategy in Fitz and Mobile, which so far secures the stabilization of our customer base in the fixed line. And again, that was also supported by our proactive actions last year to upgrade a significant part of our customer base, which will compete the most in Q2 and Q3 of last year towards the higher speeds. So that's the comment on the second question.
Operator: The next question is from the line of Osman Memisoglu with Ambrosia Capital.
Osman Memisoglu: Many thanks for your time and the presentation. few on my side, if I may, please. First, on the fixed revenues part, what's the latest on the timing and if possible, relative size of the fiber coupons from government coming into play. And also within the fixed revenues, but you mentioned earlier in your speech, domestic wholesale tariffs came down a bit. If you could share what the impact was? Was it all covered in Q1? Or is there a partiality -- so we see a delta in Q2. That's on fixed revenues. And then maybe a more strategic question. What are the latest thoughts on the capital structure of the company, especially given that Chris is quite close to becoming investment grade, should we expect any change on the capital structure, either because of that event or anything else in the near future?
Michael Tsamaz: So let me -- I said the election -- the coupon will be -- is expected after the elections, definitely towards the last quarter of the year.
Babis Mazarakis: On the rest, the domestic wholesale, that is the natural right part of the prices. The area is a little bit below EUR 3 million, but it's been expected. On the capital structure, we don't have any -- I mean, we have been quite positioned with the policy in the previous year. So the end of the year, we are -- the company is already ready as an investment grade. So we are already is already on investment rate. So the extension of the count the rest of the date, obviously, we'll attract more enters from portfolios that currently don't invest in from the auto, they don't invest in lower than investment grade. And that will be a benefit for the whole country, actually, not just for tech. So the capital structure remains as it is, and they were reading forward to the accession of the tender in the investment pace because of the attraction of more investors in the country.
Operator: The next question comes from the line of Robeco George with Citi.
Unidentified Analyst : I had one question and a couple of clarifications. The question is around pricing going forward. We've seen in a number of countries, companies introducing some inflation links to their pricing widen for this year, but maybe thinking about next year as well. So I'm curious if it's something you are looking into Vodafone has already been active on that front in many markets, but whether something that you are looking perhaps into introducing at some point given the pressures from inflation we're seeing in some markets. And then the two clarifications I have is, firstly, as you mentioned earlier something about the larger program, I just wanted to understand whether there are any pending decisions from the government or whether there could be any delays if there is -- it takes a bit of time to perform, let's say, government after directions, whether that could affect the timing or whether now it's just a matter of certain things just going through the government processes before it's finally operational. And then the clarification -- the second is this is around the FTTH cotton you mentioned earlier in some of the the areas when you rolled out fiber, which is around 50%. Is that -- do you going to tactical only the customers upgrade speeds to FTTH levels? Or do you turn customer to FTTH regardless of whether they are paying up for space...
Babis Mazarakis: Thank you. Okay. Regarding inflationary price increases. Currently, we're going through, say, is competitive, I would say period, which means that market dynamics do not allow for any price increases. The Walter, as we said, is going -- it is in the plans of the digitalization processes of the government. Yes, we need to see the final document on the final decision to push it through. With said we expect given the transration to be enacted towards the end of the year. So that's our view, but it is in the plants and in the digitalization build. George is the question about the fiber to the home for the earlier -- for the, let's say, the old areas, as Panesar that it's 15% in some cases. And if I correctly your question is how far or how fast we can grow the current penetration towards this percentage, right? It's also is relatively high. So I'm just wondering whether even if the customer is not up to for speed that require tiers, whether you connect all the new customers to DTH anyway so that it's easier to then upgrade during that contract. I was curious whether to connect to FTTH to whether I need to pay extra or not. No, this is natural demand. We do not force upgrade or force connecting new customers to the fiber. But we surely do intensive campaigning throughout all our channels, shops, telesales to all these new areas, but we are rolling out the fiber. And if we remember very well, the first area that we rolled out the fiber are the areas near the central offices, meaning that we didn't have fiber to the cabinet either. So the maximum speed that customers would get there were 24 megabps or even less because it was the old copper infrastructure. So this is why the take-up in these areas is very impressive after 3 or 4 years, and customers are getting the best of the experience we can give them through fiber.
Unidentified Analyst : Thank you. Thank you...
Operator: As a reminder, if you would telephone -- once again, to register for telephone -- we have a follow-up question from the line of Mimio with Ambrosia Capital.
Unidentified Company Repressive: Just quickly, if you don't mind, given the tourism pickup, are you seeing any material changes in your roaming performance, particularly, I guess, in Q2, you imagine Q1 was probably material. That's the first one. And then any update on the performance of Pasi -- should we expect any contribution on EBITDA level this year from... Regarding the roaming, it's expected to be a nice good year as last year. So also, there are some situation in the grad part of the -- in the connection rates. So we expect at least to have stable roaming revenues versus last year. And that will be evident mostly in Q2 -- in Q3 because the number in Q1, it was just around EUR 3 million. So on the PSI, I think it's still on the growing phase because it's just a few months after the launch. And the first target, which was to reach the landmark of 100,000 customers as has been achieved. And now we are heading forward to further increase towards the next milestone in terms of to enrich our service with new offerings. And we have to be placing maybe a couple of years before the numbers are starting to have an impact in the whole P&L structure. But it's going according to plan, a little bit better, I would say, in terms of customers and leaning forward to the new standing of services.
Operator: As a final reminder to register for in your telephone -- ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to management for any closing comments. Thank you. Thank you all for your attention, questions or interest -- our resilience in the first quarter and our plans for the rest of the year give us confidence that we will deliver another healthy performance in the full year despite the economic geopolitical and competitive pressure we are expecting to face. I'm looking forward to our next discussion in early August for our half year results. Have a nice day. weekend. Thank you. Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling, and have a pleasant evening.+